Operator: Good day, and thank you for standing by. Welcome to Sportradar's Third Quarter 2023 Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Christin Armacost, Manager of Investor Relations. Please go ahead.
Christin Armacost: Thank you, operator. Hello everyone, and thank you for joining us for Sportradar's earnings call for the third quarter of 2023. Please note that the slides we will reference during this presentation can be accessed via the webcast on our website at investors.sportradar.com and will be posted on our website at the conclusion of this call. A replay of today's call will be available on our website. After our prepared remarks, we will open the call to questions from investors. In the interest of time, please limit yourself to one question, plus one follow-up. Please note that some of the information you will hear during this discussion today will consist of forward-looking statements, including without limitation, those regarding revenue and future business outlook. These statements involve risks and uncertainties that may cause actual results or trends to differ materially from our forecast. For more information, please refer to the Risk Factors discussed on our Annual Report on Form 20-F, filed with the SEC in March, and Form 6-K, furnished with the SEC today, along with the associated earnings release. We assume no obligation to update any forward-looking statements, or information, which speak as of their respective dates. Also, during today's call, we will present both IFRS and non-IFRS financial measures. Additional disclosures regarding these non-IFRS measures, including a reconciliation of IFRS to non-IFRS measures, are included in the earnings release, supplemental slides, and our filings with the SEC, each of which is posted to our Investor Relations website. Joining me for today's call are Carsten Koerl, our Chief Executive Officer, and Gerard Griffin, Chief Financial Officer. And now, let me turn the discussion over to Carsten.
Carsten Koerl: Thank you, Christin, and good morning and good afternoon to everyone. We have a lot to share with you today on our performance for 2023, strategic actions we are taking to improve profitability, as well as our growth expectations for 2024 and beyond. In a dynamic time of our organization, I am impressed by the focus and execution exhibited across our teams. In particular, our ability to unlock greater profitability from our growing revenue base. This collective effort is laying a durable foundation for our continued growth and success in 2024 and beyond. While we remain on track to deliver strong year-over-year growth in 2023, we are updating our outlook to reflect the financial performance to-date and address some recent market headwinds. While we expect to deliver adjusted EBITDA at high end of our previous guidance and stronger adjusted EBITDA margin, we're reducing our revenue outlook to reflect some of these short-term challenges. Now, we expect to deliver revenue in the range of €870 million to €880 million, representing year-over-year growth between 19% and 21%; adjusted EBITDA in the range of €162 million to €167 million, representing year-over-year growth between 29% and 33%, and improved EBITDA margin in the range of 18.4% and 19.2%. We have lowered our full year's revenue outlook, mainly to reflect two factors. First, the euro has further strengthened creating pressure on our U.S.-dollar-denominated revenue, relative to our initial expectations. Second and, more recently, in Q3, betting operators, especially those outside of the U.S. have experienced margin pressure, primarily to live betting and soccer due to winning streak of bettors, with more favorites winning and Goldrich games during the start of the European Football season. This contributed to softness in our Q3 MTS results and our outlook for the rest of the year, very participate in our sports betting clients' revenues. Our strong outlook for adjusted EBITDA and adjusted EBITDA margin reflects improving operating leverage through both cost management and ongoing strategic initiatives to streamline our business operations, which we will walk you through shortly. Turning to the third quarter. We delivered revenues of €201 million, up 12% year-over-year. This was lower than our expectations, primarily due to the noted softness in MTS revenues. Outside of this, our portfolio results were broadly in line with our expectations. We delivered record quarter profitability with adjusted EBITDA of €50 million, up 38% year-over-year, and adjusted EBITDA margin of 25%, an improvement of 471 basis points year-over-year. We also generated net cash from operating activities of €76 million, up 19% year-over-year, and we ended the quarter with €290 million cash and cash equivalents, up €26 million or 10% quarter-on-quarter. As a leader in our industry, we work to ensure that we consistently deliver value to our clients and shareholders. This week, we initiated a reduction in our global workforce. This action is part of a broader set of strategic initiatives to better position the company for growth, which we aim to simplify and streamlining the company's operating structure, improving product ROI, and portfolio optimization. When completed, this reduction in workforce should result in an approximate 10% reduction of the company's 2023 labor cost run rate and contributes positively to future operating leverage. It will also enable us to be more agile, intently focused on our strategic priorities, and to capture the market opportunities ahead of us. Now, I'd like to update you on a few new and expanded deals that will help drive our growth and profitability into 2024. First, our teams are well underway with realizing the value of our strategy partnerships with the NBA, with our latest lifetime revenue and profitability estimates ahead of our original expectations when we announced this deal in 2021. With the knowledge of the current trading and newly closed long-term client agreements, we can confirm that this investment remains on track to be a strong revenue contributor and highly accretive to our EBITDA margin goals over the lifetime of the deal. To remind you, the NBA deal begins with 2023-2024 season and runs through 2031. With last week's tip-off of the season, we have now signed up our U.S. client base to the premium content for the next eight years, including DraftKings, BetMGM, Bet365, FanDuels, and Caesars. We are also incredibly pleased with the positive engagement for this premium content offering across our international client base that accounts for approximately 40% of the total NBA deal value. We are just at the beginning of our journey with this great franchise, that will be an important innovation and growth catalyst for the company. I look forward to unlock the additional value, which we will deliver to our clients and our company over the term of the deal. In addition, I am thrilled about the partnership with the Taiwan Sports Lottery we selected as their Official Technology and Service Solution Provider through 2033. This is our 14th governmental approved lottery. We will be providing the Taiwan Sports Lottery with the platform combining multitude of services like MTS, pre-match, live odds, and the end-to-end sportsbook and player account management solution. This roll-out, which commenced in quarter three, will ultimately extend to over 2600 retail outlets in Taiwan. Last, our value continues to be recognized in the industry, winning several awards, including Sports Betting Provider of the Year, Marketing Services Provider of the Year, and Top leaders in AI 100. Before I turn over to Ger, I would like to reflect a little more on where we are in our journey. I'm excited about the market prospects ahead of us. Driving sustained profitability growth on scale by using the power of a worldwide network, together with the growing data opportunity, is more than ever fascinating and motivating. We are the industry leader and trusted partner because we have developed enduring and valued relationships with our clients and partners that only deepened with our innovative capabilities. Our best-in-class content portfolio is the fuel, which powers our existing products and robust recurring revenues. It's also the catalyst for further core revenue growth, product innovation, deeper monetization, and value creation. Our content portfolio today is as a critical - is at a critical mass and stable level to drive our revenue growth and profitability ambitions for the years ahead. Put it in another way, while we can acquire more rights if the ROI makes sense, we do not need more rights to deliver on our growth targets. Last, we are operating at scale with an agile organization to drive strong profitability growth in the years ahead. We also have the financial capabilities to enhance our position further should the right opportunities arise. To put this into a context, let me walk you through how this translate into revenue growth and higher margin for the company. Using the U.S. as a sample, we offer the broadest sports coverage, delivering official analytics and intelligence to 95% of the core U.S. professional sports or over 5,000 games annually, based on our partnerships with NBA, MLB and NHL. We leverage this foundation of assets across our media, league, and sport partners to move up the value chain with our products and capture a higher share of U.S. gross gaming revenues, or GGR. In-play adaptation is the key driver for that in the U.S.; whereas in more advanced European markets, in-play adaptation accounts for approximately 80% of the betting revenues. In the U.S., it accounts for approximately 35% of the U.S. GGR. According to our estimates, closing the in-play gap would result in a 25% to 35% increase in our current U.S. revenue base with a strong margin profile. Last is the strength of our product roadmap throughout 2024. Highlighting our partnership with the NBA, we intend to drive deeper value within the live betting markets and to bring live and immersive fan experience, next-generation telecasting, and AI-driven and 3D analytics for coaching solutions. You will see us introducing products like micro betting, virtual stadium, mixed reality, Augmented AV, and real-time stats and insights. In summary, we are well positioned to capture the significant growth opportunities ahead, by expanding monitorization with our existing clients, acquiring new clients, leveraging the power of data and drive insights and innovation, and broadening and deepening our partner ecosystem. With that, I turn over the call to Gerard to discuss the financial results and outlook in more detail.
Gerard Griffin: Thank you, Carsten. Turning to the third quarter, we delivered revenues of €201 million, up €22 million or 12% year-over-year. While most of our revenue lines were broadly in line with our expectations, we had a lower-than-expected revenue from our MTS platform due to the weaker client revenues in which we participate via revenue share. In Q3, betting operators internationally experienced margin pressures, primarily in their live betting in their soccer segments, due to a winning streak for sports betters with more favorites winning and Goldrich games during the start of the European Football season. This adversely affected our Q3 MTS results. From a portfolio perspective, Rest of World Betting was up €11 million or 11% year-over-year, with solid performances across the main product lines; in particular, Live Odds and Data were up 18% year-over-year; MBS despite the softness in MTS was up 7% year-over-year. Rest of World AV was up €5 million or 15% year-over-year, supported by the addition of the new CONMEBOL rights and an uplift in services to existing and new clients. The United States segment was up €3 million or 11% year-over-year, as we continue to see growth in this developing market. In U.S. dollars, the U.S. grew 18% in the quarter. All other revenues were up €2 million or 19% year-over-year, primarily driven by growth in our ads business. Net profit for the quarter was €5 million, including €15.5 million in impairment charges resulting from the streamlining of our business operations and product portfolio. This compares to €13 million net profit in the prior year, which benefited from stronger foreign currency gains. Looking at our adjusted EBITDA, we delivered a strong result. Adjusted EBITDA was €50 million, up €14 million or 38% year-over-year. Adjusted EBITDA margins improved almost 471 basis points to 25.1%. This improvement was driven by a more profitable revenue mix and operating leverage across all major expense lines; in particular, personnel expenses driven by lower run rates as we actively manage our expense base. Personnel expenses were €75 million, up €7 million or 10% year-over-year. Personnel expenses, excluding stock-based compensation, were €64 million, up €3 million or 5% year-over-year. Sports rights were €36 million, up €1 million or 3% year-over-year. Turning to liquidity, we ended the quarter with liquidity of €510 million. This was comprised of €290 million in cash and cash equivalents, up €29 million or 10% quarter-on-quarter, and a €220 million revolving credit facility with no amounts outstanding. Given our solid liquidity position and our focus on delivering long-term value to our shareholders, we are reviewing several options to enhance our capital allocation. Before I turn to our revised 2023 outlook and initial views for growth in 2024, I would like to take a moment to expand on Carsten's remarks related to the actions we are taking to better position the company for top line growth and operating leverage in the future. As we've noted in the past, we are continuously challenging all aspects of our business to ensure we are focusing our talents and resources on the most profitable growth opportunities. Due to this focus, this week, we initiated a reduction in our global workforce. This action is part of a broader set of strategic initiatives to better position the company for growth, which are aimed at simplifying and streamlining the company's operating structure, improving product ROI, and portfolio optimization. When completed, this action should result in an approximate 10% reduction in the company's 2023 labor cost run rates and contribute positively to future operating leverage. We expect this action to be materially complete by the first quarter of fiscal 2024. In 2024, we expect the operating leverage our strategic initiatives will unlock in personnel, cost of sales, and other operating costs will be offset by the pressure in operating leverage, resulting from the one-time step up in our Sports Rights costs expected from the first full year of our NBA and ATP partnership deals. As we look beyond 2024, there is the potential for all major expense line items to contribute to improved operating leverage as we continue to actively manage our operating costs run rates and a more stable Sports Rights portfolio cost base. Turning to our revised 2023 outlook. While we remain on track to deliver strong year-over-year growth in 2023, we are updating our outlook to reflect our financial performance to-date and address some market headwinds. Our updated outlook for fiscal '23 is as follows. Revenue in the range of €870 million to €880 million, representing year-over-year growth between 19% and 21%. Adjusted EBITDA in the range of €162 million to €167 million, representing year-over-year growth between 29% and 33%. Adjusted EBITDA margins in the range of 18.4% to 19.2%. Our revised full-year revenue outlook primarily reflects greater FX pressure on our U.S. revenues than previously indicated, given the strength of the euro versus the U.S. dollar, lower MTS revenues for the year given the softness experienced in Q3 and a more cautious estimate for Q4. Our stronger adjusted EBITDA outlook primarily reflects improving operating leverage through the continued active cost management and initial benefits from the ongoing strategic actions to streamline our business operations and product portfolio. Turning to 2024. As we look forward into 2024, we expect to deliver at least 20% revenue growth from our enhanced content portfolio, which will include the NBA and ATP rights, and improved monetization across the product portfolio. We also expect to deliver at least 20% adjusted EBITDA growth with the improvement in operating leverage in personnel, cost of sales, and other operating costs offsetting the one-time impact from the step up in Sports Rights costs for the new NBA and ATP partnerships. In summary, we remain on track to deliver robust growth in 2023 and are well positioned for continued profitable growth in 2024 and beyond. With that, we'd like to open up the call for your questions. Operator, will you open up the line for questions.
Operator: Thank you. [Operator Instructions] One moment for first question please. Our first question comes from the line of Ryan Sigdahl with Craig-Hallum Capital Group. Your line is now open.
Ryan Sigdahl: Good day, Carsten and Gerard. Thanks for taking my questions.
Gerard Griffin: Good day, Ryan.
Ryan Sigdahl: Curious on the U.S. So, deceleration in growth, I know a little bit of an FX headwind. But even considering constant currency deceleration in growth there and even relative to the rest of the business, I guess you commented 19% growth in betting and AV - implies there was, you know, weaker somewhere else to offset that to get to 11% overall. So, what specifically isn't going as well there?
Carsten Koerl: Gerard, do you want to take this question as the CFO?
Gerard Griffin: Yes. No - in terms of the U.S., we actually - if you take off the FX impact we feel, we actually had a strong growth in the quarter. I would remind you it's - this is our quietest quarter when you look at, in terms of the fiscal year. Outside of our explanation, there was nothing else material to call out in terms of the AV side of the business.
Ryan Sigdahl: Then, just on guidance for the year lowering in part - smaller part - due to the euro strengthening. As I look at the euro trading at the lowest USD conversion this year, I mean, it's actually depreciated versus U.S. dollar since you last gave guidance. So, am I missing something there?
Gerard Griffin: No, most of the impact was what we flagged back in the last quarter, where you saw that - we flagged that versus our original guidance. We felt there was pressure of around €10 million. All we're saying is that that pressure, which is now reflected in this revised guidance range, did increase the actual blended rate in Q3, did contribute to more pressure. I think as you look into Q4, it shouldn't be an impact.
Operator: Thank you. One moment for our next question, please. Our next question comes from the line of Robin Farley with UBS. Your line is now open.
Robin Farley: Great, thanks. Two questions, and I apologize if you covered this, we have had some trouble getting on to this call. But - on the AV business for Rest of World, I don't know if you addressed the margin being down a couple hundred basis points there even with the 15% revenue increase. So, I don't know if there's any color to add on the Rest of World AV. I know you just mentioned something about the U.S. business, but on the Rest of World AV. And then, the another question is - on the NBA deal, can you give us a sense of kind of the profitability between your arrangements with them on the sports data side versus tracking technology. It seems like there are lot of companies that have some piece of a deal with the NBA in different tracking. And so, I wonder if you could just help us understand the profitability of the different pieces of your arrangement with the NBA - if there is - you know, in general terms. Thanks.
Carsten Koerl: Hi, Robin, this is Carsten. So, looking to the AV revenue, that's a seasonal effect. So, it's - the quarter three is not a high traffic order from AV perspective. You know that we have a portfolio which we bring to the market, so they are always premium rights. And behind this, we line up a couple of cheaper rights, for example, Table Tennis. And that is the effect, which you see here - the growth comes like - through the stated CONMEBOL and MLB there. So, nothing special to state. You will see a readjustment in quarter four here, which goes from a profitability - most likely bit in the other direction. But that is seasonal effects and very small. Looking to the NBA deal, and I'm glad that you asked, I'd like to remind everybody that those deals are accounted from an accounting perspective, treated in a way that was the lump sum. And in this case, it's splitted in equal proportions over eight years. We all - I think can follow that during the term of the deal, it gets more profitable for us as the distributor, because we can line up more products and more clients behind it. So, this deal gets only more margin accretive for us during the term. The second half of such deals are significantly more profitable. Combining this with our strong outlook which we gave for 2024 shows you how good we leverage our business and how good we leverage our worldwide operation and the client base. Looking specifically to the data piece in the United States, which we mentioned, accounts for 60%. It's on the data - it's not AV. Worldwide, there is an AV component in there and there was a blended that mix between the data and the AV deal on a worldwide basis. Worldwide, we are very satisfied with how we are tracking. From the U.S., we signed every operator for the next eight years on the extended deal, which includes deep data and innovative solutions, where we have highlighted a few of them. There are no tool tracking providers for the NBA. There is one tracking provider - one official tracking provider - nothing else. There is a small size deal in place with some teams, which we fear to get also solution from another tracking provider that's on discretion of the NBA teams. It doesn't extend to the Women NBA, and that is a team by team based deal. We have a deal with the - with the NBA on this, and we are providing those solutions which we highlighted. I hope that answers the question, Robin.
Robin Farley: Yes. Great, thank you very much. Thanks.
Operator: Thank you. One moment for our next question, please. Our next question comes from the line of David Karnovsky with JPMorgan. Your line is now open.
David Karnovsky: Thank you, Gerard. Maybe just following up on the 2024, the 20% revenue growth, and I think you had set EBITDA as well. Just while we have you on the call, I want to see if you could break that down a bit in terms of where you think that growth will come from by segment? And then, Carsten, you noted importance of in-play betting for future growth. Just curious with the start of the year, NFL, NBA, and NHL seasons, how the uptake looks there relative to early last year?
Gerard Griffin: Carsten, do you want me to start?
Carsten Koerl: Yes, please. Start, Gerard.
Gerard Griffin: So, David, in terms of the actual growth next year, you know, we believe that the growth is going to be broad based. In the sense that - we obviously will see the contributions from, you know, our enhanced content portfolio. So both, directly and indirectly through, obviously, cross selling and packaging. That's going to obviously help our U.S. growth. But as you saw in our notes, you know, 40% of the NBA business is outside of the United States. So, we expect it to be a major contributor internationally, similarly with the ATP. Beyond that, you know, we've been investing, as you know, in enhancing, you know, the overall potential of our portfolio. So, we do believe that there's opportunities to introduce new products next year but also enhance our existing portfolio to enable us to upsell and continue to drive on - what is already a very strong and recurring revenue base. So, broadly speaking, it's going to come across the board in terms of the existing portfolio. But, obviously, the addition of new products and new content is going to help amplify our growth in 2024.
Carsten Koerl: And, for the second part, with the in-play, we see a pickup - 10%, sometimes 15% on the operator base, a shift into live betting, from 30% and average to a 35% or a little bit more. These are numbers which we get from the operators. I think more important is that we are supporting this trend with our products. The AV products are stimulating. We have that for baseball, and for NHL now. And what is also stimulating is, all the visualizations based on deep data, which you saw in the slides, which we do and where we launched a couple of new products for the NBA. What we want to do here is we want to create that experience for the betters to follow the match in running and, of course, stimulate them for placing some bets. A testament that we are right on track is the interview, which Amy and Jason from FanDuel and DraftKings as the CEOs, did on G2E and stated there - and we moderated that panel - that live betting is high on their agenda and the products around this are our products which they are looking into. So, I think all this together shows you we are all working very solidly that we move into the live betting. And the last piece maybe is the leagues. They are supporting this a lot. They see the opportunities with that live experience. So, we think the trend will continue. We have nothing to think against it. If it reaches the 80% which we see in Europe, that's prob - that's still open, but we see a solid trend from pre-match into live betting.
David Karnovsky: Thank you.
Operator: Thank you. One moment for your next question. Our next question comes from the line of Michael Graham with Canaccord Genuity. Your line is now open.
Michael Graham: Hi, thank you. Wanted to ask two. The first one is on the sort of cadence of the negative sports outcomes that you mentioned. I know you've reaffirmed guidance at the end of August. I'm just wondering if maybe some of that stuff happened, you know, pretty late in the quarter or just maybe talk about specifically the month of September. And then, I just wanted to ask if you had any updated thoughts on the long-term profitability roadmap in the U.S.. I know you are solidly profitable. I'm just wondering if you have any updated thinking around, you know, how long it takes the U.S. to get, you know, closer to your corporate average. Thanks.
Carsten Koerl: Very good. So, I'll take the first part and then I'll leave the U.S. piece to Gerard if you allow. Looking now into the correction and the MTS, the mechanism here is that we have a revenue share from the Gross Gaming Revenues of the operator. So, when the operator has more profitability because we manage the risk better for them, we have a higher proportion on their share. Now, it is from a risk management perspective, you are looking to the biggest pools from a liquidity perspective. So, with that, this has happened in Europe or the Rest of the World, not in the U.S., because we are speaking about favorable soccer results. Favorable soccer results means favorites are winning. So, we had that effect. And we are not the only one; all the companies reporting public had the same effect. Think of it, as if you're giving a loan to the better, so the better will win this; but sooner or later, the operator will win it back if they offer consistently the risk management which we provide to them. And, yes, favorites winning is something nobody can avoid. It happens. It happens quite frequently in this business. It's nothing to be worried about. It's simply a winning streak, which we are facing. And it comes together with goals in the last minutes, which is not good from a risk management perspective and the number of high goals. Readjusted our algorithms, we think we have taken well care of this effect. But as I said, it's a revenue share base, so that has an effect on our MTS results. And we face this with the beginning of the soccer season, which is in quarter three. And maybe, the very last piece of this is, if you compare this quarter soccer to the quarter in the last year, you will see that in the last year we had the World Cup, a lot of matches have been shifted. So, proportionally, we had significantly more soccer matches in quarter three last year than we have in this year. So, the year-by-year comparison is also affected partly because of this. I hand over to you, Gerard, for the second part.
Gerard Griffin: Yes. When you think about the U.S. - and some of what I'm going to say actually applies to our broader business. If you think about some of the major, you know, content deals we have in place like - Carsten talked about the NBA in his prepared remarks. If that deal evolves over its lifetime, you know, the back half of that deal is significantly more accretive from an EBITDA point of view than the earlier years when we're dealing with, you know, straight line of the amortization costs. But, obviously, a growing revenue base. So, when you think about the U.S. given the size of the U.S., that will have a meaningful impact on that business over the coming years as we think about more long term. The other aspects of the business, we have the content portfolio today to serve that business and grow that business. We talked about that in our prepared remarks. But as more states open up and as live betting evolves, that's obviously going to deliver a stronger revenue contribution of what is essentially a fixed base of business from a cost point of view. So, there's going to be operating leverage that will be triggered. So, from a U.S. perspective, we feel confident that the growth opportunities there, both structurally and what we're doing to enhance our product portfolio, and that will lead to an expanded margin profile and will definitely bring the U.S. up over the coming years. And more broadly, it's the same concept if you think of our Rest of World whether it's the ATP deal or whether it's the NBA deal, you know, the structure of these deals are such that they are going to be very nice contributors to margin expansion as we think through the lifetime of the deal. Little bit of a wait at the start, but they are obviously going to enable us to drive better margins outside of what we've said already - which is keeping a close eye on our operating structure and making sure we're driving the right kind of product innovation to deliver value add to our client base.
Michael Graham: Okay, that's helpful. Thank you so much.
Operator: Thank you. One moment for our next question, please. Our next question comes from the line of Jason Bazinet with Citi. Your line is now open.
Jason Bazinet: I just had a quick question on that faster-than-20% rev growth, greater-than-20% EBITDA growth next year. I think that means consensus estimates have to move up. And so, I was just wondering if you could may be highlight what are the two or three most notable risks to achieving those sort of growth rates?
Carsten Koerl: Gerard, would you take up that question from Jason?
Gerard Griffin: Yes, obviously, I'll start with profitability, and I'm going to give you an Irish answer - so apology. But if we decide to not focus on managing our operating costs and we see a gradual creep back in our employee base in terms of our labor costs, you know, that would obviously impact the level of operating leverage that we believe we can deliver in 2024 and beyond. You know, the actions we're taking this week, while difficult, due position us for strong operating leverage over the coming years. From a revenue perspective, you know, again, the content portfolio is in place and the product offering is in place. So, it would have to be, you know, more macro factors - does the U.S. open up at a slower pace; is there anything else structurally wrong which we don't believe in any of our markets. I don't see any material issues. Obviously, if the world changes and the better is continually on a stronger winning streak which has not historically been the case, that could impact some of our revenue shares. But as I stand here today, looking at our assumptions for 2024, we feel good about delivering at least 20%, given the strength of our content and what we're doing to enhance the monetization of the product portfolio.
Jason Bazinet: That's great. You know, if I could just ask one follow-up. You guys mentioned that you don't need any more rights. And you may buy more rights but you don't need them. Would you say that's a new chapter in the evolution of your company, or could you have said that a year ago or three years ago?
Gerard Griffin: What I would - sorry, Carsten, if you want to go ahead.
Carsten Koerl: Go ahead, Gerard. No, no, go ahead. So, I think you can do this perfect.
Gerard Griffin: Yes. What we've said, at least, Joe, in my tenure and I know it's been said in the past. We take a very strong ROI approach to Sports Rights. And it's one of the reasons that we walked away from certain rights that, you know, in a world where you are not worried about profitability, you'd probably say - well, let's add them to the portfolio. What we see right now with the addition of the NBA and ATP is that we have the portfolio that is basically the foundation for our long range planning right now. It's not to say that if we found another right that would actually amplify our revenue growth at the right profitability, we wouldn't execute against it. But I think there has been a perception in the past that it's always up until the right, we have to keep buying more rights to drive revenue growth. The answer is, it's not that case - at least, not from our perspective. If you look at the breadth and depth of our portfolio, it can more than serve the needs of our client base in the U.S. and our client base internationally. So, from our point of view, it's not necessarily a change but it's something I think we have to say very clearly - because I think there is a concern which - if you want to take the bear case that Sports Rights are always going to go up - our Sports Rights right now, when we look at the larger rights, they are long-term rights that are locked in. And as we said, as it relates to the NBA, it's also a commitment from our client base to engage in that deal. So, from our point of view, the structure of Sports Rights - the only way that your Sports Rights will materially grow from where I stand here today is if you do add another major right or you have a major adjustment to your right. But, right now, we feel good about the portfolio rights. And that portfolio we believe can sustain us. So, from our point of view, we have stability in Sports Rights and that's an important factor because it will allow us to focus on the rest of our P&L from the point of view of managing, you know, obviously our run rate in terms of our personnel costs and our other external costs.
Jason Bazinet: That's great. Thank you.
Operator: Thank you. One moment for our next question, please. Our next question comes from the line of Stephen Grambling with Morgan Stanley. Your line is now open.
Stephen Grambling: Hi, thanks. And this is maybe a clarification of some comments at the beginning. It's not that often that you see a company talking about 20%-plus top line growth - that's above consensus - but then also announcing a global workforce reduction of this size. I mean, basically, you've got some temporary top-line hits, but still talking about shrinking the future. So, maybe you can just clarify again what the impetus for the workforce reduction was? And also, just any other details you can give on what the new org structure might look like? Thank you.
Carsten Koerl: Stephen…
Gerard Griffin: Carsten, would you?
Carsten Koerl: Yes, I will take that one quickly.
Gerard Griffin: Okay.
Carsten Koerl: I can't give you an update about new org structures. We are constantly reviewing the process that we are more efficiently, that we more client-centric, and that is a constant process, which I think every company needs to do. Looking to why we did the reduction in the workforce, which is a tough step, which we did in the last days, we believe that it's the right thing to do to prepare our business to be fit for the future growth. And it's a plan which we're executing now since a couple of months. So, those things have to be well planned. We know and we announced this that we have two major big deals with the NBA and with the ATP, with amazing opportunities for us. But we are going to need to handle also the cost aspect for this, and that's what we are doing. So, we are focusing on client-centricity; we are streamlining the processes; we are looking that we allocate our resources on the right products; we took a couple of products out, and we took a couple of our products into a maintenance mode to focus on those which are driving our growth. And as a last sentence, the team follows this amazingly even if these are more difficult decisions. We all understand it's necessary for the future acceleration of our growth. That's the reason why we did it. And we want to deliver this return to our shareholders and to all the stakeholders in the company.
Stephen Grambling: Thank you.
Operator: Thank you. One moment for our next question, please. Our next question comes from the line of Jordan Bender from JMP Securities. Your line is now open.
Jordan Bender: Great, thanks for taking my question. Two from me. Several operators called out in the U.K. just some of the friction relating to the regulatory environment during the quarter. I was wondering if that had any impact on your results during the third quarter and could that be a potential risk into the fourth quarter with just some of those changes ongoing. And then, second, flow-through for next year, plus or minus 20% as well. I mean you kind of talked about rightsizing the cost structure. So, you know, how should we think about that flow-through past '24. What I guess - what's the right way to think about on a mature business? Thank you.
Carsten Koerl: Hi, Jordan. So, I'll take the first question and then I leave the outlook into 2025-plus to Gerard. U.K. regulators, yes, they tightened the regime which we welcome a lot - because it's the aspect of player protection. It's responsible gaming, and we believe that's the only way to really grow and to be accountable with this. So, that's a measurement, which some of the operators might suffer, some of them might not. It's very much depending on how you're integrating this and how you're using it also as an opportunity. From our base, we have the recurring revenue model with all the U.K. operators. So, there is little component in with the revenue share. But, usually, we're running a SaaS business there. We don't see any weakness here. And thanks to our worldwide distribution base, we have not a significant risk in the U.K. that we have too many client accounts there. We are well spreaded and well distributed around the world. Now, to the second piece, outlook 2025. Gerard, please.
Gerard Griffin: Yes, I'm going to talk more broadly than '25. I think it's '25, '26, '27. You know, Jordan, the way to think about it is - if you look at 20% growth, at least 20% growth in '24, top and bottom, that implies that we're holding EBITDA margins broadly flat. And the reason for that is - we believe that we're going to deliver meaningful - we will unlock meaningful operating leverage from personnel cost of sales and all other operating costs. And that's to a variety of initiatives around, you know, our product portfolio, the actions we've announced today, and continually challenging every aspect of the business. But in '24, it's covering a step-up - a one-time step-up in Sports Rights. When you look out into '25 and '26 and '27 on the assumption of continued strong revenue growth, all of those line items in a stable environment should be growing at a lesser pace than your revenue. And that is absolutely the objective we have in mind. So, you will see margin expansion and stronger operating leverage across most likely all of those line items, as we evolve to '25 and '26, '27. So, from our point of view, the business is structurally set up in a way that if we can continue to do what we've been doing for the last years - in other words, continuing to drive value for our client base, drive revenue growth - you're going to see a change in dynamic where whether it's your personnel costs, whether it's improved premium flow-through from our revenue base or from a stable Sports Rights portfolio, you're going to see operating leverage. And, you know, that's essentially what we've been saying up until now. We just tried to make it a little bit crisper and clearer at this time, because essentially '24 is a transition year when you bring in two material premium rights like ATP and NBA. But given the actions we're taking, you will clearly see in the P&L a different profile from an operating expense point of view that is set up for unlocking further operating leverage, as we grow the company over the coming years.
Jordan Bender: Thank you very much.
Operator: Thank you. Our next question comes from the line of Stefanos Christ with Needham and Company. Your line is now open.
Stefanos Christ: Thanks for taking our questions. This is Steph calling in for Bernie. I just wanted to ask on the NBA. Are there any extra products or capabilities that you bring to the NBA in the new season? And then, have you been able to sign up any other sportsbooks to reflect the new NBA deal in addition to BetMGM last week?
Carsten Koerl: We signed up all of them. So, it's an all-account at the moment, 40 operators in the U.S. There might be one or the other tribe, which we do not account here. But all of them signed up for the additional content package and for the new deal for the next eight years. So, that's the whole United States and all operators there. The interesting piece here is, we're moving up with this deal from a data provider into a solution partner with the NBA and for our clients. And that unlocks, in the future, much more potential around this immersive gaming experience, live betting experience, the things which we highlighted there. But, the deal is consistently deployed over all operators in the U.S.
Stefanos Christ: Thank you.
Operator: Thank you. One moment for our next question, please. The next question comes from the line of Shaun Kelley with Bank of America. Your line is now open.
Shaun Kelley: Hi, everyone. Thank you for taking my questions. Two from me. First would be on - just as we look out to the fourth quarter and we kind of move past, some of these whole - or sports-outcome related issues - you know, just trying to kind of think through, you know, the guidance as laid out still implies, you know, revenue to reaccelerate. So, if we didn't have the sporting-outcome related issues, would that be enough to hit, you know, sort of what you're - the roughly 20% growth rate that your 4Q outlook implies? Or are you also expecting to see some seasonality and some uplift from the start of the NBA season? I know, seasonally, you know, some of these contracts kick in. So, is that part of why revenue should reaccelerate in the fourth quarter. So, that's my first question.
Carsten Koerl: So, on the guide.
Gerard Griffin: Yes...
Carsten Koerl: Go ahead, Gerard. Go ahead.
Gerard Griffin: Thanks, Carsten. From a - we do expect seasonality will kick in in Q4. And also, as Carsten indicated in his remarks, we do have the roll-out of the Taiwan Lottery, which will be more of a benefit in Q4 than it was in Q3. So, while we still expect some pressure against the business as it relates to MTS and we've taken a more cautious view as we look at Q4, we do expect to see a reacceleration of growth. So, when you look at it from a year-over-year perspective, you're back into the 20s.
Shaun Kelley: Great.
Carsten Koerl: So, maybe…
Shaun Kelley: Sorry, Carsten.
Carsten Koerl: Maybe, let me add one thing because I think it's very important. The guidance says, we are midpoint 20% top-line growth for 2023 and we will deliver this. The guidance says we are midpoints on a 31% year-over-year from an EBITDA perspective and we will deliver this. So, I think it's a strong growth business. And we managed and showed that we have leverage from a profitability perspective. With that, please your second question, Shaun.
Shaun Kelley: Thanks. You know, my second question is really just on free cash flow conversion. I know this is an area you've been working on a little bit with payment terms and some other things with vendors. But, can you just remind us may be, medium or long term, what's the right, you know, kind of way to think about your EBITDA to free cash flow conversion for the business broadly?
Carsten Koerl: Gerard, please.
Gerard Griffin: Yes. As we said in the past, we're targeting to drive to at least a 50% conversion. And while we don't disclose that metric, you have the details to help you figure it out for both year to date, which is around 43% and actually for Q3 was above 50% because it was a very good cash quarter. Q4, we expect to be a bit more compressed. But, overall, we're progressing through the year to a stronger cash conversion.
Operator: Thank you. One moment for our next question, please. Our next question comes from the line of David Katz with Jefferies. Your line is now open.
David Katz: Hi, good morning everyone. Thanks for squeezing me in. This has been asked a few different ways because it is unique. It's not all that common that we would get a high growth outlook, coupled with, you know, a kind of a cost cutting - call it cost cutting a restructuring or however you want to characterize it. The way that these two - should we look at those two in a discrete fashion, or does the restructuring, you know, enable for better growth? Or does it, in some way, you know, dial back the growth opportunities? Or are these just completely separate issues, and the cost side is just symptomatic of how the business has evolved?
Carsten Koerl: David, this is always connected with each other - the revenue and the costs. Restructuring is not a restructuring. So, a company like Microsoft is taking out 10% of the workforce every year, and I can give you many more samples of this. I think what we're doing here is we're getting a more mature business. We are focusing on delivering returns for our stakeholders. We are focusing to prepare us for the next level of growth. We are strengthening our cash abilities which we have. So, we are growing this; we are converting cash. And, for me, that belongs to how you operate and run the business in a responsible way. I would not call it restructuring, but we are refining our products and our processes and organization structure. And we came to the conclusion that we can deliver what we just announced with this workforce. And then, I think it is responsible from us for the workforce but also for our stakeholders to install these measurements. So, that's how we see it. I think a 10% is not something totally out of the line if I'm looking to many other businesses in the tech base.
David Katz: I apologize for the word choice...
Carsten Koerl: No problem.
David Katz: ...refinement is probably a better choice. For my follow-up, what I wanted to ask about is - all of us, just industry wide, are so focused on product because, you know, at least at the operator level, product is what's winning. If you could just share some insights in terms of how you might be, you know, positioning yourselves to enable operators for that next big thing, right - the past year, it's been so much same game parlays and the like - talk about what's next to the degree that you can, and how you're positioned there.
Carsten Koerl: If you look now to our cash cow, it's - I think we all agree that's the global betting business. That's a €112 million revenues and it delivers 50% profitability in this quarter. That's done by upselling and cross-selling, lifting the clients up the value chain. So, meaning, we are going from a data into a product stage with the Live Odds, or the trading services, or finally, then the platform services which you see now is the Taiwanese Lottery deal. And yes, partly, also a little bit with some overbookings on data content, but that's not the bigger proportion. Where is that going? It's going very clearly into the products. It's going very clearly into the platform direction. So, directionally, you will see now after the risk management that goes more into the platform. We acquired a company called VAIX a year ago, which is working with the users and trying to optimize the user journey, trying to optimize the churn of the users, trying to understand what can you push on platform to use to motivate them to cross-sell this into different channels but also to optimize the growth in the sports betting performance. And that gives a variety of options in the platforms. Look to the U.S. tribes in the future, what kind of solutions might they want to have - is it more a solution which is managed by a provider with the platform and with all the elements, which is in there; or is it more a big platform business what they wanted to - knowing that it's 350 tribes I think - it is more the thing which I mentioned first. So, that's a good opportunity. There are good opportunities with major broadcast businesses around the world going into this direction. So, it's consistently what we are telling from the beginning. We start with the content, but we're putting into products and that's the clear journey. And that's a clear mission and vision what we have.
Operator: Thank you. And our final question comes from the line of Ryan Sigdahl with Craig-Hallum Capital Group. Your line is now open.
Ryan Sigdahl: Hi, guys, just one quick follow-up that I think might help us - some kind of next year and the years forward. But can you quantify how much rights costs will be up year-over-year next year with those two new deals that, you know, the and how they'll be accounted for? And then, kind of what, assuming the similar offset from the operational efficiencies?
Gerard Griffin: Yes. Ryan, I'll characterize it in the operating leverage. We look at - we believe that we're going to unlock somewhere between 4 and 5 points of operating leverage in 2024 and that will be offsetting the growth in the Sports Rights. So, if you can work into the back - if you work into - reverse into that, you're talking about somewhere between 37% and 42% growth in Sports Rights.
Ryan Sigdahl: Excellent. Thank you.
Operator: Thank you. This concludes today's conference call. Thank you for your participation. You may now disconnect. Everyone have a wonderful day.